Operator: Good morning, and welcome to the BGSF Inc. Fiscal 2024 First Quarter Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Sandy Martin, Three Part Advisors. Please go ahead.
Sandy Martin: Thank you, Chad. Good morning, and welcome to the BGSF First Quarter 2024 Earnings Conference Call. With me on the call today are Beth Garvey, Chair, President and Chief Executive Officer; and John Barnett, Chief Financial Officer. After our prepared remarks, there will be a Q&A session. As noted, today's call is being webcast live. A replay will be available later today and archived on the company's Investor Relations page at investor.bgsf.com. Today's discussion will include forward-looking statements, which are based on certain assumptions made by the company under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by the forward-looking statements because of various risks and uncertainties, including those listed in the company's filings with the Securities and Exchange Commission. Management's statements are made as of today, and the company assumes no obligation to update these statements publicly, even if new information becomes available in the future. During the call, management will also reference certain non-GAAP financial measures, which can be useful in evaluating the company's operations related to the financial condition and results. These non-GAAP measures are intended to supplement GAAP financial information and should not be considered a substitute. GAAP and non-GAAP measures are reconciled in today's earnings press release. I'll now turn the call over to Beth Garvey.
Beth Garvey : Thank you, Sandy, and thank you all for joining us in reviewing our performance so far this year. Before we discuss our first quarter earnings, I want to address last night's release announcing our decision to review strategic alternatives for BGSF. Over the past 5 years, we have worked hard to execute our long-term strategy for growing the company organically and through M&A, enhancing our margins, paying down debt and returning capital to shareholders. I wholeheartedly believe what we have built will create value for shareholders over time. However, our valuation has not reflected that in progress today. And the Board and I know that this is the right time to evaluate our options. We also think suspending the cash dividend is appropriate as part of this decision. This strategic process includes a full range of value creation opportunities to accelerate growth or improve the structural return profile of the company. John and I are fully engaged with our advisers and the Board to explore ways to unlock value for the shareholders of BGSF. We have not set a time line for the conclusion of the review, and I do not have an update today. So I will not be taking calls -- or will not be taking questions related to the company's strategic review process. Turning to our results. The first quarter of 2024 met our near-term expectations. Although there continues to be caution around hiring, we are encouraged by recent trends in our project and consulting work related to IT and finance and accounting. Despite choppiness in the past few quarters, we saw significant momentum for both areas, resulting in a 7% increase sequentially over last quarter. Our recent project wins have bolstered our confidence in our strategic repositioning and important tech investments, bringing us closer to our clients' needs in 2024. Our actions during the challenging macro backdrop over the last few years have helped us transition into a structural high margin profile business. We acknowledge that there is more work to be done and are increasing our focus on accelerating revenue growth and scale. We're proud to offer high-value professional and property management services and solutions in highly specialized niches in growing addressable markets. Our business is built on state-of-the-art technology platform with proven process excellence. Looking at our professional segment, I'd like to start by highlighting just a few recent wins we are excited about. In the first quarter, we commenced one of the nation's largest SAP cloud projects with a Fortune 500 company that ranks in Fortune 100's fastest-growing companies list. We would not have been in a position to bid on this project a few years ago. But today, we are because of our strategic implementations, process changes and platform upgrades we've made. We're also actively engaged in projects to support 2 large divestitures for Fortune 500 clients and are engaged in supporting other merger and acquisition projects this year. These projects excite us and give us confidence that our strategic high-end consulting solutions are uniquely positioned on what clients are looking for in 2024 and beyond. We're at the leading edge of the best technologies available to top companies worldwide. Turning to a discussion about property management. As we look at the first quarter sales, we were up against strong sales from the prior year, which were up almost 10%. Competition coupled with increased operating expenses for property owners has resulted in a reevaluation of our sales process to overcome these factors for our valued clients. In the first quarter, we included restructuring of our sales organization and more importantly, a change in how we compensate them. Our property management sales leaders now are directly compensated for sales and are no longer tied to a specific market, empowering them to drive sales and see the success of their own personal production. This was based on our proprietary CRM technology we implemented last year. Now we have full visibility into each market and the number of units, which is a game changer for the sales leadership and property management. We expect our work to show -- to begin showing up in the results in the second half of 2024. With that, I'll turn the call over to John.
John Barnett: Thank you, Beth, and good morning, everyone. Beth gave some great insight into a few key metrics, but let me provide a deeper dive into our numbers. First quarter revenues were $68.6 million compared to $75.3 million in the prior year quarter. Property management revenue declined 13.6%. And as Beth mentioned, we were up against an increase of 10% in the year ago period. Property management is experiencing increased competition. In addition, property management companies, our clients are facing cost pressures, adding complexities to our sales efforts. The Professional segment was down 5.7% from the prior year quarter and up slightly on a sequential basis as we continue to see the business stabilize. Gross profit and margins in the first quarter were $23.4 million and 34.1% compared to $26.8 million and 35.6% in the prior year quarter. As discussed, we saw competitive pressure in the property management segment, which has impacted our GP margins. Slightly lower margins for the Professional segment are expected to recover in the second quarter. SG&A expenses for the first quarter were $20 million and 30.6% of revenue, an improvement from $23.2 million and 30.8% of revenue in the prior year quarter. Reported operating income was $415,000 versus an operating loss of $20.7 million in the prior year quarter. Recall that we recorded a onetime noncash brand name impairment charge of $22.5 million related to our rebranding initiatives. Fourth quarter adjusted EBITDA was $2.7 million or 3.9% of revenue compared to $4.3 million or 5.6% in the prior year quarter. We reported adjusted earnings of $0.07 per diluted share compared to $0.16 per share in the prior year quarter. As Beth mentioned, we have suspended our dividend as we work with Houlihan Lokey on our strategic review. While our strategic review may change our near-term outlook, we currently have no plans for acquisitions in 2024. Funded debt to trailing 12-month pro forma adjusted EBITDA was 2.53x at March 31. With that, I would like to call Beth turn the call back to Beth.
Beth Garvey : Thank you, John. Over the last several years, our strategic directives have focused us on transforming our business from a lower-margin staffing agency to a premier high-value consulting, managed solutions, workforce solutions, and property management organization. Today, our tech stack includes business and technical expertise with over 100 technologies covering the software development life cycle. BGSF's collective knowledge is highly valuable to our clients because we bring an unbiased approach that ranges from selection to implementation, to expansion, and that often includes every part of a tech cycle. For professional consulting, we see a steady ramp-up of new client relationships, strategic IT consulting, executive search and senior level projects related to tax and mergers and acquisitions, to name few. As discussed, we've secured an important partnership with Workday. This means that we now are a partner company, and our people are Workday-certified resources with credentials that validate their skills and knowledge in all Workday products and services. Although our legacy Workday assignments continue to benefit our Professional segment, this new credential Workday relationship will benefit us beginning in late Q2 and into Q3. Our relationship with Workday is stronger than ever, and we are happy to accelerate Workday's progress, which translates to acceleration of our growth. Managed solutions has been another growth area in our successful -- after our successful acquisition of Momentum Solutionz a few years ago. This offering is a high-value proposition for clients looking for us to give them advisory services. After further assessing our growth strategy, we strategically hired a leader from the consulting world to help us grow this practice. I'm proud to announce that Hitesh Talati, a 20-plus-year veteran of Deloitte has joined BGSF to focus on key customers and bring consolidated packages with various service offerings while helping us explore new revenue streams, including artificial intelligence, product development, cloud initiatives and delivery excellence. Hitesh has a depth of experience and a strategic division that will help us be a valuable asset as we navigate our next growth phase and continue to deliver value to our customers, employees and shareholders. In property management, we continue offering proprietary training to attract an upscale talent, a unique differentiator in the marketplace. Our operational teams have added an important sales training facilitator role, and we have completed 4 different training modules in the first quarter alone. We know this industry is evolving and growing, and we are excited to continue to be on the leading edge of innovation and expanding industry of apartments, luxury communities, and commercial conversions to residential. Multifamily is a dynamic industry that grows especially as single-family housing becomes less affordable and high interest rates remain. I am pleased with BGSF's growth prospects. Even with the strategic review underway, we will continue to focus on sales, profitability and cash flow growth. I want to thank our associates, our partners, our shareholders and our Board for their support and dedication to our business strategy. We would now like to open the call for operational and financial questions concerning the business. We do not plan to discuss the strategic review or the suspension of the dividends on this call. However, we have something -- when we have something to report, we will include it in future calls or releases. Operator?
Operator: [Operator Instructions] And the first question today will be from Jeff Martin with ROTH Capital.
Jeff Martin: Wanted to start with property management. You mentioned the challenging comp from a year ago. How does -- any expectation that you'll ramp starting in the second half? Just curious against the comps for the back half of last year, does that serve as a tailwind or a headwind? And to what degree do you expect it to ramp in the back half?
John Barnett: Yes, Jeff, I would say, historically, right, we don't provide guidance on expectations moving forward. I think we are moving into a period that we haven't experienced before, and it's really coming from 2 different areas. One, we've had competition, but I think what we've experienced more recently was meaningful competition in the marketplace impacting our efforts. And then the other thing that's happening is the -- our clients, the property managers are feeling cost pressures from several different avenues. And that's causing them to really tighten down the belt, too, and, in some cases, moving decisions on the use of our service to a level up. So it's a more competitive market that we're seeing and it's -- we're entering a different phase for the property management business operators.
Beth Garvey: Jeff, I think we'll have our normal seasonality in that division, and I think that we feel good about it. But to John's point, when you don't have any competition and all of a sudden, you have more competition, it's a different sell for us. It's also a different structure for the property owners. At one point, the decision is to be made at the property level, and we're now seeing those decisions being moved up to a regional level. And so that's a different type of approach. And so our team has done an incredible job in understanding and navigating what the changes have been in the market and how the industry is evolving. And I think that we have a lot of good things that are coming forward for us in that area. It's just -- it's a shift for right now, but a shift that we have under control.
Jeff Martin: On the professional side, could you compare/contrast Professional today versus 5 years ago? I know you've made a lot of efforts to transition to more of a consulting type of role with clients. Maybe just give us a snapshot of today versus 5 years ago. And then also give an update on what's happening in the area of finance and accounting, which historically you've had a significant degree of business there.
Beth Garvey: The IT and Professional world is completely different today than what it was 5 years ago. It was disjointed 5 years ago. We did not have the cross-sell efforts and we really kind of did a little bit of this and a little bit of that. And we've really doubled down and said, what do we want to be and where do we want to focus? If you're going to be something, you can't be all things to everyone, so what do we want to be? And leadership got together and we decided when we looked at our business, we looked where we were strong. We look where the margin profiles we're at. We got together and we decided how we wanted to move those technologies forward, how we wanted to build out the teams around that. And strategically, that moved us in a bunch of -- in the right direction for the business to be focused and more intentional on how they sold. It put us in a position to really open up the doors in the cross-sell efforts to where now the brands that operated in silos no longer operate in silos. They operate as teams. And those teams are super incredibly powerful. And I think that the way the acquisitions that we've done over the last 3 years have been super complementary to what we already had, and that was not a strategy for our M&A in prior. Prior years was we bought something, we kind of saw how it was going to fit. And the last 3 acquisitions we've done have been specifically around something that we saw the need in the market that fit a puzzle piece within our organization that allowed us to go to our customers and tell our customers that you do not have to do business with anybody else because we have you covered in all of these arenas. And that transition has been a game changer for that group. But it took us a while to get there, honestly. When you do acquisitions, it takes a while to get the implementation. When you change comp plans, it gets people -- it takes a while for people to understand that. Teams were getting to know each other that -- and it took us a while to get there. But I feel so incredibly good about that division and the things that they have coming out of their area in the last 4 to -- really the last 3 to 4 months. I just could not be more proud of what they've done to transition that group.
Jeff Martin: Then one more, if I could. On the neutral offering update, you bought Arroyo about a little over a year ago now. Just curious how the progress is there, you would think in the current economic climate that clients would be looking to do more near and offshoring.
Beth Garvey: They're a solid acquisition. They have done some really great things that continue to grow. The teams have started to cross-sell into that business that we would never been able to get before from our customers because they were giving it to somebody else who had offshore capabilities. And so we're starting to see some of that traction moving in the right direction. And the addition of Hitesh is really going to be a big part of seeing that group growth.
Operator: And the next question will be from Howard Halpern from Taglich Brothers.
Howard Halpern: I guess, if you could talk a little bit more about the Workday, the strategy there and the pipeline that's developing for the second half of the year due to that recognition?
Beth Garvey: This is a new program for Workday. Workday, it's never in the implementation type of business. So they said, we want to go in and we want to have some consultants that we own as in Workday. And they came to us because of our relationship that we had with them and said, look, we don't really know how to build this out, and we would like for you guys to come help us think through it. So we had a group of leaders that went to California and sat down and said, here's how this would look for you. What it means is we have certified Workday folks that will go into a Workday portal at Workday. And in Workday, we'll have the ability to go into that portal and select those consultants and deploy them out. So that is different than a Workday person, success managers saying, hey, we've got this customer over here and they're having struggles, let me walk you in the door. So it's a whole new process for Workday, which is why it's taken a -- it takes a while to build it. We got to ramp it up. They got to get the infrastructure together and they got to move it through that. So I think those are the good things that happen. We do not know quite yet how that's going to work, but we feel very, very positive that we're going to be successful at it because Workday has asked to lead it. And that puts us in a very unique position to be able to go through and really help not only our company but help Workday as well. And so we think that's all going to start once it's all built and starts getting -- the rules of engagement start getting worked out, I think that we will see those results starting. I think as of yesterday, Eric Peters, our Division President, told me we just had our first Workday consultant out of the Workday portal get chosen to go on a job. So we've got the first one going out right now. So that's a great sign for us.
Howard Halpern: And just overall now, could you talk about what you're anticipating the pace of being able to pay down debt will be throughout the year?
John Barnett: I mean, Howard, every bit of cash that we generate, everything that we can pull out of the business, we are focused on paying down debt. And I'm not going to provide a forecast on that. But no, we are -- that is our focus.
Operator: And the next question is from Bill Dezellem from Tieton Capital.
Bill Dezellem: I'd like to actually start to ask you to clarify this in the press release. The second paragraph, where you referenced that the current macro environment is different from the past. What specifically were you referring to there?
Beth Garvey: The property management arena we talked about a minute ago. The difference in how they're operating, what's happened with the operating expenses in that environment where the property owners were having increases in their insurance and increases in their taxes. A lot of the people who had ARM loans are out coming to fruition now, so their interest rates are going up. So those types of things.
Bill Dezellem: And then would you please provide a perspective on your revenue trends for each of the 2 divisions? Over the last 4 months, I mean, you talked pretty positively about what you're seeing with the Professional side and maybe we can get a little more clarity on the building strength that's taking place there.
John Barnett: Bill, we talked about -- I mean, the property management side, those trends have been down. And really, that downward trend year-over-year decline started in December and continued through the first quarter. If we look at the professional side of the business, I would say, really, we've been very similar to what we've seen from our competitors, which is relatively flat business adjusted for seasonality. And that really has been since the middle of last year, and that trend has not changed. I think we are optimistic that a lot of the initiatives that we have been putting in place and working on tirelessly on the professional side, really, for the last 4 months, 6 months is going to start to show in our numbers towards the really end of the second quarter and into the third quarter.
Bill Dezellem: And John, have you seen, as we've gone through January through April that month-to-month, there is a little bit of strengthening taking place in the Professional arena? Or was it reasonably consistent throughout the quarter?
John Barnett: I would say, in general, reasonably consistent. We had some balances, right, as we move through -- definitely on the Professional side, as we moved through January, February and March. We actually had a slightly stronger January than we thought because typically, we have more year-end there as the budget season shifts from 1 year to the next. We saw less of that in January. We saw a little bit more of that come through in February, and then we saw more -- a little bit of recovery in March.
Bill Dezellem: So in essence, the reference that Beth had made to the wins that you're starting to see the revenue benefit from that is still ahead of us.
Beth Garvey: Correct.
Operator: And the next question will be from Steve Cole, a private investor.
Unidentified Analyst: A quick question. I wanted to talk a little bit about property management and the change in the compensation structure you alluded to. Could you speak a little bit what comp did that? And I know, Beth, you've alluded to the -- you mentioned the proprietary database that you're now utilizing. How is that working? So if I remember, that's been going on for a few months now. Can you maybe give us a little bit of background and then what's happened since you've rolled that out? And are we seeing higher churn at all as you change the compensation structure? Has that been a good thing? Or what's happened there?
Beth Garvey: The compensation structure changed April 1. So this is -- we're going through the first process of seeing what the new comp plans look like. But to give a little insight into how it used to work, we had wanted to do this for a couple of years, and we did not have the ability to be able to go in and attach revenue to a person. It was always just attached to the market. So when we would go into a budget, we would say we've got the Dallas market, and this is the number we need you to hit. There may be 5 people that work on that Dallas market, and they all get compensated the same regardless of what they were doing, right? So this gives us the ability to really have those rock stars that are going through and doing all the production and moving in the right direction, giving them the ability to say, you know what, this is great because now I get to eat what I kill, right? So I get to go out and I get to make more money. And the other thing it also does for us is it allows sales and the delivery teams to get outside their markets. And what that means is if there -- we're at a -- there's a market that has got no orders, they're all full, they're all good. Those delivery people and salespeople can pop over and start helping other markets and get credit for it and win. And we did not have that ability before. And so that all went into effect April 1. So super excited to see how that rolls out.
John Barnett: Steve, I would also mention that, we needed to transition to a plan that was -- our strategy was we want it to be always relevant. We -- and so our old plan wasn't always relevant, depending on what was going on in the individual market. And the other thing was to create really that owner-operator type incentive so that they own their destiny and they can see what -- if I'm in a market for 3 years, and I drive it to this level, I can clearly see what type of commissions and my total comp that I would earn.
Unidentified Analyst: That's very helpful. I guess the last question there would just be the macro environment from the developer -- from the property manager side in your advantage, how do you guys see yourself positioned there? I know you've obviously got size. I'm just curious what you value -- your competitive value proposition versus who's out there. How are you positioned now? And how is that changing aside from, Beth, as you mentioned, it's going up higher on the food chain and the decision side, but just in terms of how in practical terms, how is that working?
Beth Garvey: Well, the differentiator we have in the property management side is also the training side. That's something that is allowing us to be able to go through and out sell or offer a service that somebody didn't have before. I think the other benefit we have is these property management companies, Greystars, the Lincolns and places like that, they're seeing more competition around, too, where procurement was never involved in any of the decisions that were made historically about what staffing agencies get used. And we're starting to see even those larger companies go in and start looking at it through the lens of procurement. And that is potentially good for us because instead of those decisions being made at a local level now, some of these property management companies are going through and working to try to say these are the approved vendors that you need to work and you can only use these 3 approved vendors, and we will likely -- well, we will be 1 of the 3 based off our size and our reputation in the industry. So that's a good move for us. And those -- we're seeing some of those contracts start to develop in the recent months. So we're waiting for those [indiscernible] to get signed.
John Barnett: Yes. And I think our reputation, too, in the industry, I mean, super strong compared to our competitors, right? Last year, we won the Supplier of the Year award for the association, which just speaks volumes to how they view us as a partner and somebody who's helping them in their business. And then I'm not sure exactly what the name of the award is, but we are a finalist on the Educator award for them this year. So that's definitely a strength that we have that others don't.
Operator: And the next question will be from Mike Taglich with Taglich Brothers.
Mike Taglich: Most of my questions have been answered. One question, I guess, is for John. What would the tax basis be on the tech side of the company's business?
John Barnett: I don't have that number at my fingertips, but that's where all of our tax basis is. It's all on the professional side because that's where we've made all of the acquisitions.
Operator: And the next question is a follow-up from Jeff Martin from ROTH Capital.
Jeff Martin: Beth, I just wanted to get an update on your technology platform initiatives. I think that's a continuous process. An update there, what you're seeing in terms of improved productivity, engagement, collaboration, et cetera.
Beth Garvey: We continue to have moved out of the setup phase and more into the phase where we're doing more the work that makes the system more productive, right? So going and doing the enhancements, we have a graph that says we now do more things in the advancement sites than we did and actually getting it to work behind the scenes. So that's a positive move. And I think one of the things that has come out of that in the leadership team, we always have leadership teams every quarter, is being able to really say these are the things that we have going on right now. I know that our marketing team is doing some great things in regards to being able to attract talent and attract customers. We have the ability to be able to tell when somebody pops on our site. We can look at immediately -- the sales teams could immediately follow up when they see John looked at an e-mail we sent out. And then our salesperson can go, hi, John, we saw that you looked at this e-mail and immediately close the gap on some of those conversations. The other things that we're able to do is to go through and do campaigns around activities that we do, all the trade shows and the property management group, all those contacts, when you go to a trade show, you walk away with all the business cards and what do you do with those things. And we -- historically, it's hard to follow up. And we loaded all of those up and the marketing team is now doing drip campaigns out to those people. And those are all things that we couldn't do before. And so that gives us more visibility. Again, it gets quicker touches to our customers. We've had some policy changes in regards to how we do time card collection, which has taken some -- I think the last number I heard was about 5 to 6 hours a week off the plate to the staffing coordinators, and that gives them ability to fill job orders a lot quicker. And we just continually make enhancements. So it's -- we're very intentional about what's closest to the dollar when we make those decisions. And there's a lot of wish lists out there. And the first question is always, what's closest to the dollar, and those are the things that get worked on first.
John Barnett: Yes, Jeff, we did go through the period, right, of implementation, came out. We turned around and actually made 2 acquisitions back to back, right? So while we definitely worked on making the system more easy to use and more efficient, last year, we also had a lot of our resources that would be dedicated to that type of effort working on bringing in these 2 companies. So that's done. We have a road map of development that we are going to do on the salesforce platform that we believe will improve efficiencies. In addition to, as Beth mentioned, on the sales front, sales enablement and really leveraging the system and leveraging our data to maximize the use of our time is a priority.
Operator: [Operator Instructions] The next question is from George Melas from MKH Management.
George Melas: A quick question on Workday. I'm trying to understand that better. Is this sort of a unique setup in the industry or have other software shops sort of set up sort of a similar system? And I'm trying to understand the person that will be on the Workday portal that Workday assigns will be your staff and will be paid by Workday. So Workday would be who pays you. Is that how the contract works?
Beth Garvey: Yes. Workday is now our customer in that scenario.
George Melas: And with this, I knew -- at the beginning of a project to sort of make sure that it starts well? Or is it mostly on projects that sort of have problems? And when they feel like they need to have somebody there that to sort of correct it? And how do you work with the Workday consulting and implementation staff?
Beth Garvey: They're our staff to begin with. And so we're going to our consultants and saying, hey, you've got your credentials, we'd like to get you loaded up into the system. So it's not like they come -- that we don't have access to them anymore. We can actually still use them. And to answer your question, whether or not it's an implementation or a fix, it's a combination of both. But I believe that majority of that part of the business will be an implementation. So until he decides to purchase Workday, they will go in and say, now we need the implementers to do it. So that's going to be the majority of it. Our other parts of our Workday practice are the ones that are going in and doing the fixing.
George Melas: It'd be interesting to see how it works out. And my question on property management. The impact of competition, you are in some 60 or so markets. I imagine the competition is not in all these markets. So can you really map the impact of competition? And can you see a real differentiation in your performance between markets where you have competition and where you don't?
Beth Garvey: I don't believe we have that granular of information, George. So you're right that not every competitor is in the markets that we're at. But the majority of our markets do have a competitor now. And -- but I don't know that we get that granular on how that works.
John Barnett: Yes. I would say, definitely, we have varying performance across our portfolio, right? Every market is -- has, really, a different kind of sub macro environment that is -- that exists in. So we've seen some markets get a little hit what we believe is a little harder of our competition. In other markets, not so much.
Operator: And ladies and gentlemen, this concludes today's question-and-answer session. I would like to turn the conference back to Beth Garvey for any closing remarks.
Beth Garvey: Thank you for your time today. We appreciate your continued support, and we look forward to updating you on our second quarter results in August. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.